Operator: Good day, everyone and welcome to the Hubbell Incorporated Second Quarter Results Conference Call. As I reminder, today’s call is being recorded. At this time, for opening remarks and introductions, I would like to turn the call over to Mr. Jim Farrell. Please go ahead, sir.
Jim Farrell: Good morning, everyone and thank you for joining us. I am here today with Tim Powers, our Chairman, President and Chief Executive Officer; Dave Nord, our Senior Vice President and Chief Financial Officer and Bill Sperry, our Vice President of Corporate Strategy and Development. Hubbell announced its second quarter results for 2011 this morning. The press release and earnings slide materials have been posted to the investor section of our website at www.hubbell.com. Please note that our comments this morning may include statements related to the expected future results of our company and are therefore forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995. Therefore, please note that the discussion of forward-looking statements in our press release and consider it incorporated by reference into this call. In addition, comments made here also include some non-GAAP financial measures. Those measures are reconciled to comparable GAAP measures and are included in the press release and the earnings slides materials. Now, let me turn the call over to Tim.
Tim Powers: Thank you. Welcome everyone and thank you for joining us this morning. As this our typical practice on these calls, I will provide you with some overview commentary on the results we announced this morning and then, Dave will walk you through a detailed discussion of our financial performance. I will share my perspective on the outlook for the remainder of 2011 and some closing remarks. We will open it up and take some questions from you. We will refer to presentation materials you can find on our website and I will start on page three. I am very pleased with our performance in the second quarter particularly growing the top line by 10% and our operating margins by 30 basis points despite continuing commodity cost pressures. Our strong financial results in the second quarter are reflective of the performance of our end markets that was better than our expectations. We enjoy particular strength in both our utility and industrial markets while our construction markets, both residential and non-residential continue to face challenges. Our utility customers are spending more on maintenance and repair of their networks and we are seeing a good flow of transmission projects, which is providing growth for our power business. Our industrial side, we see good demand from manufacturing customers, which helps our electrical products and wiring device businesses and well as strengths from the extractive industrial customers, which drives our Harsh & Hazardous business. In non-residential construction, spending on new buildings is still down, but we are getting a strong whiff from retrofit re-like and renovation that is allowing us to grow our commercial and industrial lighting businesses. Unfortunately, residential construction is still slumping at low levels. As you are aware, we entered the quarter with significant upward pressure on commodity costs. Therefore, this quarter was particularly important in providing indications that the pricing actions we took at the beginning of the year appeared to be taking hold. Overall, the quarter still experienced the net headwind, but the gap was narrowed and we expect a favorable balance in the second half of the year. Beyond pricing, we remain focused on positioning our company to succeed in the future and there are several areas worth mentioning this morning. On the new product development side, we have introduced the new wireless control product that allows the user to control lighting in a room. But more importantly, can be installed in a retrofit application without ripping up walls to install wires. The LED area of our lighting platform continues to make important strides. A recent example is the launching of our new D2LED product. This is the first to market a 2-inch aperture downlight that replaces the 6- inch compact fluorescent light. This product is receiving great reviews and is another example of Hubbell’s leadership in the product development of the solid state lighting area. Our productivity initiatives are making good progress as well and these are key as we need them to overcome cost inflation. In summary, we had a strong quarter moving Hubbell forward as both markets and our financial results were better than our plans, but let me hand it over to Dave, who will give you the details. Dave?
Dave Nord: Thanks Tim, good morning everybody. I’m going to start on page 4. First overall, looking at the quarter sales that Tim mentioned, overall sales are up 10% to $709.2 million and that’s really with some broad-based improvement other than the residential housing market and it is really led by our utility and industrial markets, both up double digits. Within that 10% year-over-year, 2% of that growth was coming from our price increases that we have been putting in place and working to realize and 2% from foreign currency translation. So, our underlying volume was up 6% year-over-year. Turning the gross margin, the second quarter gross margin of 32.4%, was down 20 basis points from the same time last year and that’s really despite the higher volume, it’s really still reflecting the significant negative impact of commodity costs in excess of our price increases that for the quarter was nearly a full point of negative impact. Offsetting that was certainly the benefit of our volume and the incremental margins as well as the productivity initiatives that we continue to work on and are even more important in this inflationary environment of some of the cost elements. Turning to page 5, our selling and administrative costs were only up 6% consistent with our volume growth to $124.8 million, but as a percent of sales actually down to 17.6% from last year’s 18.2% and a big benefit of that certainly coming from volume, but also our continued focus on cost discipline as we grow and the markets grow maintaining a discipline around the cost efforts that we put in place during the last couple of years in tough economic times. So our operating profit of $105.1 million is up 12%, operating profit margin up to 14.8%, up 30 basis points and that’s really a point of volume contribution offset by the negative price cost situation that we are still dealing with in the second quarter. Turning to page 6, some of the other income statement items, our other expense net of $9.2 million is up 15%. The driver of that increase is really losses on translation of some non-functional currency balances, particularly in currencies that have had some significant movement with the weakening of the dollar, most particularly in our Swiss operation, but on the interest side of that comparable net interest expense despite $100 million of higher debt outstanding from our debt offering last year. We move over to the tax rate, our tax rate for the quarter was 31.5%, that’s down 80 basis points from the second quarter last year and really due to the fact that the R&D tax credit that didn’t get implemented until late in 2010 is really in place for all of 2011, so that being the driver. So we turn to page 7 and you’ve got that all translating into net income. Our operating profit up is 12% with the benefit of a lower tax rate partially offset by this currency losses, give us a 13% year-over-year increase in net income and that translating into 13% earnings for diluted share, net earnings diluted share calculation actually has a little bit higher share count from last year; the average was $60.8 million versus $60.2 last year. We continue to work to offset the dilution from equity award exercises and in the quarter in fact we purchased 350,000 shares of stock for about $22 million. So, we finished the end of June with an outstanding share count of $60.5 million. Let me turn now to the segments. First on the electrical segment, sales in the quarter $497.9 million up 9%. Broad-based increases in almost all of the businesses again, except residential and residential lighting. The Harsh & Hazardous business, our connector business, which includes Burndy up in the mid teens, our industrial businesses including our industrial wiring devices are up high single digits, even our commercial and industrial lighting business up low double digits, but that being somewhat offset by the residential lighting business down mid teens So with that sales increase of 9%, 4% of that coming from price and currency, still getting a 5% volume increase helping to drive our higher operating profit of $69.2 million, up 13% at a margin increase of 60 basis points. And again, the volume contributing point to that, but being offset by what are still cost headwinds in the commodity cost price equation in some of those businesses that have started to dissipate as the quarter progressed and we see that turning positive in the rest of the year. Let me turn now to the power segment. Power segment reporting $211.3 million of sales, up 12%, and that is with higher distribution and transmission spending in that business; within that 12%, price contributed 3% of that growth. So the 9% volume increase leading to an 11% operating profit increase to $35.9 million, margin of 17%, down 20 basis points from the second quarter last year, but certainly a significant improvement from what you might recall we had in the first quarter as we were really just beginning to deal with the impacts of negative price costs; that gap starting to close, but still a negative, more significant than the incremental margin that is coming from volume, so for the quarter still down 20 basis points. Turning to cash flow for the quarter, on page 10, free cash flow, which is our operating cash flow less CapEx of $53.8 million, pretty much on our expectations, a little bit of working capital growth in the quarter compared to last year and principally that is due to some planned inventory build that we had in the second quarter in anticipation of the higher sales volumes that we were forecasting for Q3 and Q4. So all-in-all, a very solid quarter by all measures that we are looking at. So, when you add that to our positive first quarter, you get to a year-to-date through June with sales up 12% led by our industrial and utility markets. The non-residential new construction weakness being offset by the good market dynamics in the renovation and re-like and that helping to all offset what is softer than anticipated residential market. Margin up through the 6 months up 70 basis points and that is including the unfavorable price cost impact and again our strong balance sheet. You see that all in the numbers on page 12 with the sales up 12% that’s got 9% volume, 2% currency, and 1% price year-to-date, and on the margin side our 70 basis point improvement, very good drop through on our incremental volume, but again being offset by at least through the first half of the year, almost 70 basis points of margin compression from commodity cost in excess of price and then some other inflationary cost headwinds that we worked through with our productivity initials. If you look at the segments year-to-date, the electrical segment on page 13, sales up 11%, largely from the strong industrial markets as well as the renovation and re-like activity. And again an 11% growth, we've got 3% of currency and price. So, 8% volume growth leading to 25% operating profit growth year-over-year, $126.8 million, 13.2% margin. Year-to-date power on page 14, sales of $440.3 million, up 15% with a higher spending on distribution products and an increase in the transmission project activity that have been on the Board for a while and similar to the electrical segment price and currency adding 3 points to sales, so our volume increased up 12%. The power segment operating profit up 7% year-to-date to $61.9 million, a margin of 15.3% that’s down 130 basis points year-to-date. I remember we started with a very challenging first quarter comparing and it is improving as the year goes on. So, we are very pleased with that outcome. Free cash flow for the year-to-date till June, $85.3 million conversion against net income of 74% comparable to last year, fairly typical with our business that were a little bit below net income in the first half of the year and then picking up in the second half due to the timing of our sales profiles, although we certainly continued to work to improve on our working capital and if you see that on page 16 where our working capital as a percent of sales continues to improve finishing the second quarter at 17.9%, a level that we are targeting this day and for the rest of the year, and I think that's coming from a number of areas despite the increase in inventory and increase in business, our days outstanding on the receivable side have improved from year and by a day. And our accounts payable days outstanding improving by seven days as we have mentioned in the past, focus on our payable cycle and trying to move to what is closer to an industry average in that regard. All of that focus on working capital and cash generation continuing to support our strong balance sheet. our capital structure on page 17 continues to be solid, a little bit of a net cash increase in the quarter about $13 million from Q1, leaving us well positioned for pursuing acquisitions and I think I will say that the acquisition pipeline continues to be active. A lot of work going into evaluating a lot of transactions, but as is typical, we started with a very broad funnel and it gets narrowed down to critical few that fit our criteria and profile, but I'm optimistic that we have a couple of smaller transactions, more of our typical smaller transactions that could close by sometime in the third quarter or into the fourth quarter. So, I think that activity will start to pickup. Certainly, larger transactions are always longer cycle and fewer in numbers. So, all-in-all, very well positioned as we finish the first half of the year. So, let me turn now to a little bit of our end-market outlook on page 18. You'll note that we've upped our outlook from our previous view a quarter ago and principally in two areas, but let me just go down all four of our markets. First on residential, we started the year assuming residential would probably be flat and this is how we view the end-market. We adjusted it down because of negative bias. We still are certainly viewing it and all the signs are negative, but we’re maintaining our current view that it will be down lower to mid single digits. Certainly, it’s something we follow closely. No recovery this year and I’m not sure when we’ll see that, probably some maybe next year. On the utility side, that’s one that we are now starting to realize particularly the transmission projects that have been on the boards for some time, but the question is when do they ultimately get out into the market and get awarded, and so a lot more of that has started to occur in the second quarter, which gives us more confidence that that market is starting to be realized and that’s a big driver for us taking our assumptions to the utility business up from 4% to 6% to the current 7% to 9%. As well, the industrial market and our industrial market mind you has a mixture of (Inaudible) the high voltages, the Harsh & Hazardous as well as the pure factory related industrial. And so, that’s kind of a composite that we started the year in the low to mid single digits and as we’re starting to realize better results and viewed those results as more sustainable and the market seems to be more sustainable, we’re bringing those up and we’re now looking at that being at 6% to 8%. And then lastly, in our largest market, the non-residential construction, we are a little more optimistic on where that market is not on the new construction side, that continues to have a lot of weakness, a lot of negative dynamics, but more on the re-like for energy efficiency, retrofit and renovations, which is a bigger part of the expenditures that are occurring without a history particularly on the energy efficiency, very difficult to predict, but as we are progressing through the year, it appears that that market has more sustainability if not some near-term volatility because that is a little bit more of a short cycle business than the historical new construction where you could look out 9 to 12 months from an award and kind of predict with some reliability. So, all of that adds up to an underlying market assumption for us of 3% to 5%. That translates into on page 19, a sales expectation up 7% to 9%, the higher demand on the industrial utility products as well as the favorable pricing, foreign currency and then the other delta is some of the benefit that we get from our new product introductions and pocket some share gains. So, all of that is very positive, although we certainly will continue to be cautious, there’s uncertainty around the market, there could be economic shocks, we’ve got the whole debate on raising the debt limit as well as I mentioned, you’ve got a little more difficulty in ultimately predicting some of the short cycle activity, which we’ll manage through very carefully. Price and commodity costs are expected to be favorable in the second half, which we are very pleased with. We’re working to get that hopefully to be neutral for the year, but even if we’re neutral for the year and an assumption currently of 2 points coming from price, if you think about the math on that, that actually is dilutive to our operating margins by as much as 30 basis points. So, while we’re getting better volume, we still believe that our target of 50 basis points at margin improvement will be a very solid performance and I think that 50 basis points will probably be comparable in both the electrical segment and the power business. I think as well as we look out into the rest of the year, I will remind you that we had some dynamic last year in the third and fourth quarter, particularly in the third quarter I recall we had some very strong performance, very strong margins attributable to some very favorable industrial mix, in some cases some project business that would typically happen more ratably quarter-to-quarter. Last year, there was more of it in the third quarter and I would say that that probably contributed an incremental point of margin in the third quarter, so as you are looking at the rest of the year and as we’re managing through the rest of the year, we see that being a dynamic. And again, our balance sheet is well positioned for acquisitions going forward. So with that, let me turn it back over to Tim for some other comments and then we’ll open up for questions.
Tim Powers: Thanks Dave. Now for a quick summary. The markets have been more favorable than we had initially expected. We have been facing strong upward pressure from commodity prices that have required us to take pricing action across our portfolio of products. Our belief is that these actions already taken will allow for the second half of the year to turn positive and bring the price cost equation into a more balanced position for the year. The result should be a 50 basis point improvement in margins that will result in record EPS results for 2011. So in summary, we are pleased with our positioning. We have a vibrant new product development process. We are focused on lean manufacturing methods and we feel more important to our customers than ever before. Despite construction markets being at or near bottom, we are poised to deliver record EPS performance in 2011, so as growth returns there in the future, we are optimistic about adding value to our customers and our shareholders. Thank you for your attention and now we would be happy to take some of your questions.
Operator: (Operator Instructions) Your first question comes from Christopher Glynn - Oppenheimer.
Christopher Glynn - Oppenheimer: Thanks, good morning. I just had a question, the cash that you have on the balance sheet, it sounds like a lack of larger deals in the pipeline, we’ve just got to look at more aggressive share repurchases?
Tim Powers: I would say that we always are considering that and I would say that we’ve done some share buybacks at this point and it is decision by the quarter Chris, that’s all it is, so it’s just something we’re looking at and if we have got better use, which means acquisitions, we would go to that first.
Christopher Glynn - Oppenheimer: Okay. And then, as we move into the third quarter, is the sequential pricing and moving into a favorable balance, is that similar across the segments?
Dave Nord: Yes, it is similar, although power is always more challenged, they have higher material content and so that recovery is a little bit slower. And so, I think what we see in the third quarter will probably be more biased toward the electrical segment than the power segment, but still, at least targeting could be neutral if not positive.
Christopher Glynn - Oppenheimer: Got you. And then, how long do you think until you get a good sense of what the wireless controls, what the uptake in the market opportunity is for you there?
Tim Powers: I would say a couple of quarters. It takes a while really to get the word out to train the channel on the selling process around this, but it is a product that we’re very excited about and it’s something that would work well for instance in schools and institutions and government buildings that you can preset lighting levels to for instance, classrooms and with a couple of settings turn the ordinary classroom and it’s something that’s considerable energy savings without as we describe a lot of extra labor to connect the controls to the lighting fixtures.
Operator: (Operator Instructions) Your next question comes from Rich Kwas with Wells Fargo Securities.
Rich Kwas - Wells Fargo Securities: Hi guys, how are you? Good morning.
Dave Nord: Hey Rich.
Rich Kwas - Wells Fargo Securities: Dave or Tim, could you give us some color on how demand trends played through the quarter? It seemed like for overall industrial and utility were pretty good and construction maybe not as good, but just how we went through April, May, June, just any color along those lines would be helpful?
Tim Powers: I would say that the stronger markets have followed the traditional path of increasing strength month-over-month and remained as we said, a little bit stronger than we had anticipated going into the quarter, which is why we have raised our guidance on those markets and the new construction non-residential side, both commercial and resi are weaker than we've thought they would be, and I would say in the category of stronger is in the LED side, which continues to be growing at a terrific rate. So, the stronger getting stronger month-over-month just following sort of the construction cycles and the weaker markets are getting a little bit stronger, but still on a relative basis, reflecting all the numbers you see about them.
Rich Kwas - Wells Fargo Securities: Okay and then on lighting, you've had some data points from some of the other competitors in this space, the largest player seemed to be having kind of difficulty there, it just seems like you are little more positive about lighting. What are you seeing in the market, I mean, if you could break it out between just demand, volume and then just margins that would be helpful?
Tim Powers: I would say that there is certainly a weakness overall in the C&I market on the new construction side and the projects that are there are centered around institution, government, and they are much fewer as you can imagine based on the macro statistics than you would like to see. On the other hand, the re-like side, the major industrials are really paying attention to energy consumption and spending the money that it takes to upgrade facilities, and these would be, Fortune 100 names that are going facility-by-facility to do the right job on that. In addition, there are some projects on the government side from the stimulus, which are relighting some fairly large buildings too, but the paybacks that’s the cost of energy is rising certainly more attractive every time.
Rich Kwas - Wells Fargo Securities: And then on the industrial side on the lighting, is that direct or does that go through distribution?
Tim Powers: Pardon me, could you say that again?
Rich Kwas - Wells Fargo Securities: The industrial lighting; does that go through distribution or would that be in some cases direct?
Tim Powers: No, it goes through the normal channel. It's specified by the lighting agents that go through distribution almost always.
Rich Kwas - Wells Fargo Securities: Okay, great. Thanks so much.
Tim Powers: Thanks.
Operator: (Operator Instructions) Your next question comes from Brent Thielman with D.A. Davidson
Brent Thielman - D.A. Davidson: Hi, good morning.
Dave Nord: Good morning.
Brent Thielman - D.A. Davidson: Just on your guidance for sort of the right guidance for the second half for sales. Could you kind of break it down, how much do you expect from price increases versus volume increases versus sort of Forex?
Dave Nord: Well, I think the full year pricing we expect to be about 2 points. That's ramping up, so there will be a little bit more strength as the year progresses into the third and into the fourth quarter, but currency based on today's rates, we would probably be another 1 to 2 points.
Brent Thielman - D.A. Davidson: Okay, that’s helpful. And then, just remind me, were there any meaningful pricing actions taken in the second half of 2010?
Tim Powers: Nothing that had any significant effect in 2010. We did have some price increases late in the year that we are targeting to have effect at the beginning of this year, and I'm just talking from memory, now I don't remember anything significant.
Brent Thielman - D.A. Davidson: Okay, that’s fair. And then, on the utility side of things, is the pipeline of sort of forthcoming transmission and distribution projects, maybe not one you are directly participating right now, but your tracking it, is it increasing, stable, declining maybe relative to where you were at the start of the year?
Tim Powers: It's increasing. It's a very active market right now and so, a lot of these have been in the pipeline for some time and now there is action beginning to be taken. So, we are quite pleased with the prospects of that market even into 2012 as we can see.
Brent Thielman - D.A. Davidson: Okay, thank you very much.
Operator:
Jeff Beach - Stifel Nicolaus: Yes, good morning.
Tim Powers: Hi Jeff.
Jeff Beach - Stifel Nicolaus: Can you breakdown the spending strength on the utility side between transmission and distribution, give us a better sense for that?
Tim Powers: We don't usually get very specific about that, but I can tell you anecdotally that a significant increase on the transmission side of our business is coming from these projects and that the number of awards we have received in 2011 are definitely much higher than 2010, and what's in front of us is also active and we've seen your list of projects and we're tracking every one of those and some other ones that are quite small, but that are important to our customers and we think we are doing pretty well in terms of winning our share of those.
Jeff Beach - Stifel Nicolaus: And how would you describe the growth in distribution? Is it at a moderate level, it's kind of hard to see spending trends from the whole industry at this point in 2011?
Tim Powers: Well, I would say that part of it wasn't planned on their part and that there were some extreme whether in widespread parts of the country that has really had utilities doing repair work beyond what they had intended to spend, and they are not finished with all that work, I mean some of it as you know, when you get storms, you get things up and do it quickly, but not in the finished way you'd like to have it. So, I think part of it is these widespread storms, but I think there is more repair work to be done behind it. So, I think really it has lifted the whole market this year on the distribution side in a way that the utility customers really didn't expect to spend, but are having to spend. And the other side of it is, with the summer, the way it is starting, the revenues are much stronger due to the heat. And so, I think they have the cash to come up with these expenditures. So, the distribution side of utility is stronger than we expected it to be just three months ago.
Jeff Beach - Stifel Nicolaus: Lastly, on the very strong demand in the industrial, can you expand a little bit on what you are seeing? If this is new projects, it's upgrading of facilities and then specifically refer to the very strong growth in Burndy and whether some of that might be coming from market share gains, because of your ownership?
Tim Powers: Okay, I could take a few vertical segments and say that the auto industry as you know is producing more vehicles and we're seeing them spend more capital and as a result, that's good for any number of our products that are supplied to that industry. The energy side, both the oil and gas side and the mining side are doing well due to the prices of those commodities and the strength there is pretty impressive. On the Burndy side, I would say they have enjoyed some of the ramp up of those markets as well as I agree that there are some very positive synergies on their revenue from joining the Hubbell family.
.:
Jeff Beach - Stifel Nicolaus: All right, thank you.
Operator: And Mr. Farrell, there are no other questions from anybody. At this time, I would like to turn this conference back over to you for any additional or closing remarks.
Jim Farrell: All right, well this concludes today's call Bill Sperry and I are around for the rest of the day in case anyone has any follow-up questions. And once again, we would like to thank you all for joining us today.
Operator: And again that does conclude today's conference. Thank you for your participation.